Operator: Hello, everyone, and welcome to Viant Technology Inc.'s fourth quarter 2024 earnings conference call. My name is Crystal, and I will be your operator today. Before I hand the call over to the Viant leadership team, I'd like to go over just a few housekeeping notes. As a reminder, this call is being recorded. After the speakers' remarks, there will be a question and answer session. If you plan to ask a question, please ensure you've set your Zoom name to display your full name and firm. If you would like to ask a question during this call, please use the raise hand function located at the bottom of your screen. Thank you for your attendance today. I will now turn the call over to Nick Zangler, VP of Investor Relations at Viant Technology Inc.
Nick Zangler: Thank you, Crystal. Good afternoon, and welcome to Viant Technology Inc.'s fourth quarter 2024 earnings conference call. On the call today are Tim Vanderhook, cofounder and chief executive officer, Chris Vanderhook, cofounder and chief operating officer, and Larry Madden, chief financial officer. I'd like to remind you that we will make forward-looking statements on our call today, including, but not limited to, our guidance for Q1 2025 and other future financial results, our platform development initiatives, and industry trends. These are based on assumptions and subject to future events, risks, and uncertainties that could cause actual results to differ materially from those projected. These forward-looking statements speak only as of today, and we undertake no obligation to update or revise these statements except as required by law. For more information about factors that may cause actual results to differ materially from forward-looking statements, and our entire Safe Harbor statement, please refer to the news release issued today, as well as the risks and uncertainties described in our annual report on Form 10-K for the year ended December 31, 2024, under the heading Risk Factors, and in other filings with the SEC. During today's call, we will also present both GAAP and non-GAAP financial measures. Additional disclosures regarding these non-GAAP measures, including a reconciliation of non-GAAP financial measures to the most directly comparable GAAP financial measures, are included in the news release issued today and in our earnings presentation, which have been posted on the investor relations page of the company's website and in our filings with the SEC. I would now like to turn the call over to Tim Vanderhook, chief executive officer of Viant Technology Inc. Tim?
Tim Vanderhook: Thanks, Nick. Thank you all for joining us today. We delivered phenomenal fourth quarter results with performance well ahead of our guidance across all key metrics. Q4 set a new record for spend on our platform, with revenue and contribution ex-TAC year-over-year growth rates accelerating to 40% and 28%, respectively. Additionally, Q4 adjusted EBITDA increased 31% year-over-year to $17.1 million, exceeding the high end of our guidance range. I'm proud of our team's consistent execution over the past year, which is clearly demonstrated in our record full-year results. In 2024, we increased revenue by 30% and contribution ex-TAC by 24%, driven by the accelerating adoption of our innovative products and services. Our robust top-line performance and disciplined cost management resulted in expanding our adjusted EBITDA as a percentage of contribution ex-TAC by approximately 500 basis points to 25% in 2024. We accomplished this while continuing to invest in the rollout of Viant AI and while making long-term strategic acquisitions, including Iris TV, a leading global content data platform built for CTV. Today, I am pleased to announce the acquisition of Locker, a data collaboration platform specializing in first-party data activation. Locker further strengthens our leadership position in identity and addressability across the open Internet. I will further expand on Locker in a moment. Through Q4, we have now achieved six consecutive quarters of over 20% year-over-year growth in contribution ex-TAC. While a number of factors are fueling our momentum, I would like to take a moment to highlight the key catalysts driving our recent performance, which we expect to continue into 2025 and beyond. They consist of number one, CTV proliferation; number two, leadership in addressability; and number three, AI innovation. Beginning with CTV proliferation, I want to remind everyone that we remain in the very early innings of Connected TV. We are drafting off of a multiyear tailwind of the ongoing shift of linear ad spend to CTV. As ad spend migrates, advertisers are overwhelmingly choosing to execute CTV campaigns on Viant's buying platform. For the full year 2024, CTV ad spend increased over 40%, nearly double the industry growth rate, and CTV accounted for over 40% of ad spend on our platform. Clearly, Viant is uniquely positioned to win in the large and fast-growing CTV market. We enable advertisers through the use of industry-leading targeting and measurement solutions. We provide advertisers with efficient supply paths, connecting them directly to premium CTV inventory. And we are leading the industry in innovation, enabling advertisers to leverage AI as they plan, execute, and measure their CTV ad campaigns. Chris will elaborate on the near-term and long-term opportunities we see within CTV in a moment. Moving to our leadership position in addressability, we are seeing record demand for the utilization of Viant's patented audience targeting and measurement solution, our household ID. Across all digital ad channels, and particularly within the highly sought-after CTV and streaming audio channels, advertisers are eager to execute campaigns with enhanced precision and efficiency. Through our closed-loop capabilities, they are in pursuit of continuous return on ad spend improvement. To achieve this, advertisers are increasingly entrusting Viant and our household ID technology to target specific consumer audiences and accurately measure campaign performance. This is because Viant's household ID is available across about 80% of biddable ad inventory, far surpassing that of alternative identifiers. When it comes to deploying audience targeting at scale across the open Internet, we believe there is no solution with better coverage in the marketplace. This is resonating with advertisers who are voting with their ad budgets. For the full year 2024, advertiser spend associated with our household ID increased over 50%, and we see ample room for future growth. Demand for addressability and measurable insights, especially in cookieless channels like CTV and audio, is not expected to abate. Moving forward, advertisers will continue to seek out more information about the audiences they are targeting, more information about campaign performance, and more information about the content their ads are associated with. This, we believe, is an irreversible trend, and we expect it to drive incremental usage of our household ID over time. It is also why we made the decision to further enhance our targeting and measurement product suite with the recent acquisition of Iris TV, home of the Iris ID, the industry's leading content identifier for CTV. The Iris ID complements household ID, providing advertisers with even more options to deploy addressable ad campaigns and measure performance. The Iris ID enables advertisers to target CTV ad inventory at the video level rather than the app, providing advertisers the ability to match their brand, product, or service with contextually relevant content while remaining privacy compliant. Using Iris ID, advertisers can then measure the performance of their ad campaigns delivered across various publisher content, which allows for further campaign refinement. To our knowledge, Iris ID is the only scaled option in the marketplace today used to deploy contextual targeting within CTV at this level of granularity. Household ID, an industry-leading audience targeting and measurement solution, and Iris ID, an industry-leading contextual targeting and measurement solution, both reside within Viant. Therefore, we feel we are well-positioned to power addressability and measurement across all channels of the open Internet. Addressability is the future of advertising, and our acquisition of Locker is expected to accelerate its arrival across the programmatic ecosystem. Locker is a data collaboration platform built to enable content owners to collect, enrich, and activate first-party data. In partnering with Locker, publishers are able to integrate their first-party data one time with Locker and automatically enable all the other alternative ID partners in the programmatic ecosystem. On a one-for-one basis, each integration requires extensive engineering resources, a deployment of software code, and ongoing maintenance. But with Locker managing the integrations, publishers can integrate with Locker just one time and then seamlessly turn on Locker's partner integrations at will with no additional integrations necessary. With Locker, publishers cut down on the time and resources required to do these cumbersome integrations, which will help them accelerate their advertising business by leveraging their first-party data in advertising. Locker enables the application of first-party data as a signal in the bid stream, propagating the addressability of ad campaigns while complying with applicable privacy laws. The acquisition is expected to accelerate industry adoption of both Viant's household ID and Iris ID while at the same time helping publishers offer addressable ad solutions in our collective fight against the walled gardens. Similar to the Iris ID, we plan to make the Locker proposition open to the entire ecosystem, including other alternative identifiers, as we are committed to helping the entire open Internet succeed, not just ourselves. We are excited to welcome the Locker team to Viant. The company's founder, Keith Petri, is a well-known leader in the ad tech industry, having spent fifteen years dedicated to the space, and we are excited to have him join the Viant team. Keith will continue to head Locker as the CEO following the transaction. Another area we have out-innovated our peers is with the rollout of Viant AI. We have completed the first two phases of our Viant AI rollout, and we expect to complete the next two phases this year. Collectively, these four phases consist of AI bidding, AI planning, AI measurement and analysis, and AI decisioning. I'll touch on all four. Just eighteen months after launch, AI bidding is utilized to power 80% of ad spend on our platform. Advertisers who opt into AI bidding empower Viant's algorithms to search the open Internet for attractive ad inventory and transact at the lowest possible clearing price while ensuring advertiser KPIs are achieved. We launched AI planning in Q3 2024, and our team has been showcasing its capabilities ever since. We have been meeting with marketers and their agencies all over the country who immediately saw the benefits and requested a live demonstration. Simply put, it's a game changer for the ad tech industry. AI planning builds an enterprise-level ad campaign for advertisers in mere seconds and with a level of efficiency and comprehensiveness humans can't replicate. Better yet, it's easy to use, with an incredibly intuitive interface. With Viant's AI planning, if you can chat, you can build an enterprise-level ad campaign in minutes. What does this mean for our advertiser and agency clients? Number one, a drastic improvement in workflow. Early agency adopters are doubling the amount of new business pitches they can engage in, providing greater opportunity to win incremental new business. Number two, operating structure efficiencies. With Viant AI doing the heavy lifting, agencies can redeploy their personnel to focus on more initiatives. Number three, return on ad spend improvement. There are literally trillions of ways an ad campaign can be constructed and executed. Leveraging Viant AI, advertisers can build and execute campaigns that truly optimize return on ad spend considering numerous variables. Brands and agencies are eager to reap the benefits of AI planning, and they have begun scaling their ad budgets with Viant, resulting in market share gains as exemplified by our industry-leading growth rates. Viant AI also expands our total addressable market. For those millions of small and midsize businesses, performance advertisers, and direct-to-consumer e-commerce companies that have so heavily relied on search and social ad channels to fuel their growth, there is a better alternative that unlocks premium content available in the open Internet. Viant AI, in unison with the household and Iris IDs, enables advertisers of all sizes to target and measure across the open Internet and sought-after ad inventory in connected TV. With the launch of AI planning, we expect to further attract ad budgets once reserved for search and social channels into Viant's ad buying platform. AI measurement and analysis is expected to launch in early Q2, providing advertisers with incremental workflow enhancement through vastly superior reporting capabilities. The days of sifting through fifty pages of ad campaign reports are over. AI measurement and analysis provides advertisers with on-demand insights. Clients need only ask for the insight they are looking for, and Viant AI will deliver. For example, for a given campaign, an advertiser might ask Viant AI, "Show me the best performing markets," or "Show me the reach and frequency by channel," "Which ad creatives have the highest conversion rate," or "How should I optimize my campaign?" and Viant AI responds in seconds. AI measurement and analysis streamlines productivity and provides advertisers with the insights they need to continuously improve campaign performance. Finally, we continue to expect to launch AI decisioning in the second half of 2025. With this launch, advertisers can grant Viant AI full autonomy to build and execute media plans. Viant AI is expected to dynamically adjust campaigns to account for fluid market conditions in the effort of driving the most efficient outcomes. For instance, if Viant AI identifies an opportunity to shift ad spend more aggressively towards CTV to enhance return on ad spend during a campaign, it will do so. Unlike black box decisioning products available from search and social walled gardens, Viant AI is fully transparent. Advertisers will continue to have access to all campaign data, including details on where their ad spend is allocated, clearing prices, return on ad spend metrics, and so much more. To sum up my remarks, I believe we have made it clear Viant is a leading DSP for addressability, which we anticipate will define the future of nearly all digital ad buying. With our investments in Viant AI, we are at the forefront of technological innovation in our industry. In my twenty-five years in ad tech, I have never seen a greater opportunity than that which is presented by advancing AI technology, and Viant is poised to seize this moment. With that, I'll turn it over to Chris.
Chris Vanderhook: Thanks, Tim. I'm excited to report strength across all digital channels this quarter, which includes CTV, streaming audio, mobile, desktop, and digital out-of-home. Ad spend in each channel generated double-digit year-over-year growth, indicative of the widespread platform adoption by advertisers and agencies looking to leverage Viant's unique features, including household ID, direct access, and the Viant AI product suite. Looking forward, we expect CTV to continue to deliver outsized growth. There is a clear multiyear tailwind as $60 billion in US ad spend has yet to transition out of linear TV. But focusing near term, we believe 2025 will be a landmark year for live sports monetization across CTV. To provide some perspective, live sports accounted for about 40% of all national TV spending in the fourth quarter of 2024. Over the last several years, publishers have been readying live sports for CTV distribution, and we have now reached the point where live sports are universally available across streaming services. In 2025, these publishers are ready to transact programmatically and are offering greater allocation to real-time bidding transactions. It is worth noting, Viant is one of few enterprise-level DSPs capable of ingesting 40 million real-time bid requests per second, as is often necessary when transacting in a live sports environment. Through partnerships with various live sports providers, including Disney, ESPN, NBCU, Fox Sports, Warner Brothers Discovery, DirecTV, and Fubo, and many others, Viant offers advertisers access to inventory across virtually all major sports leagues, including the NFL, NBA, college football and basketball, the MLB, NHL, NASCAR, the PGA Tour, the US Open, and the Premier League. We are excited to provide our clients with access to the world's most coveted ad inventory in 2025. The migration of live sports from linear to CTV is anticipated to accelerate the shift in ad spending toward the CTV channel. Full conversion implies a CTV total addressable market of $90 billion, up from $30 billion today. However, we believe the CTV TAM opportunity is even larger. In the coming years, we expect portions of search and social ad budgets to divert to CTV, pushing the TAM well above $90 billion. There are over ten million SMBs, performance advertisers, and direct-to-consumer e-commerce companies allocating spend across search and social channels. They utilize these channels for customer acquisition and for the ease with which ad campaigns can be executed. But these same attributes now exist within the CTV channel, which delivers a more premium and impactful consumer experience. CTV is targetable, it is measurable, and with Viant AI, we have made it easier to execute a CTV campaign than a search and social campaign. EMarketer estimates search and social collectively to account for over $200 billion in US ad spend. We believe SMBs, performance advertisers, and direct-to-consumer e-commerce companies account for well over 50% of this total, and we expect to take share going forward. Within CTV and unique to Viant is our direct access program, which provides advertisers with access to the world's most premium content, eliminating non-value-add middlemen. Advertisers choose direct access for transparency and cost savings, which naturally drives return on ad spend. For the full year 2024, direct access CTV ad spend increased nearly 70% and accounted for over 50% of total CTV ad spend on the platform. We are positioned to win in CTV and believe the DSP that wins the CTV channel will win across the open Internet, particularly as industry consolidation accelerates. We are also very bullish on the prospects for streaming audio growth. In many ways, streaming audio is similar to premium CTV. Audiences are authenticated, which enables addressability, and attention levels are high. Users listen to their favorite podcasts on their way to work and in the gym, where they can remain highly attentive, enhancing the value of streaming audio inventory. We have seen tremendous growth in streaming audio demand, and we expect the channel to represent a much larger percentage of our mix over time. Touching on recent enhancements within our targeting and measurement suite, household ID was already one of the industry's most comprehensive audience targeting and measurement solutions, but we are enhancing the offering by expanding our existing partnership with TransUnion, a provider of global information and insights. Household ID is now enriched with TransUnion's true audience identity data, which encompasses online, offline, public, and proprietary consumer information. This new integration expands household ID's match rate to 95% of US adults over the age of eighteen. For advertisers, this not only improves audience targeting measurement capabilities but allows for the deployment of addressable campaigns at greater scale. To help illustrate industry demand trends, we are seeing around addressability and more specifically our household ID solution. Revenue and contribution ex-TAC generated by household ID has increased more than eight times over the last two years. In November, we acquired Iris TV, and we believe that acquisition will cement Viant's status as the best DSP for CTV ad buying. As Tim mentioned, the industry's top audience and contextual identifiers, Viant's household ID and the Iris ID, now reside under one roof. Iris maintains existing partnerships with premium content owners and platforms, which include the likes of Warner Brothers Discovery, Fox, Univision, Samsung, LG, and VIZIO, among many more. By leveraging Viant's existing relationships with premium publishers, we expect to Iris-enable many more premium content owners in the coming months. The Iris team has been actively co-marketing along with Viant, recently participating in a full slate of meetings at CES, where Iris announced the addition of TCL to its growing list of Iris-enabled partners. Today, we are pleased to announce Paramount has also signed on to carry the Iris ID. Tim laid out the timeline for our four-phase Viant rollout. I would like to focus on the reaction we received from advertisers and agencies following our launch of AI planning in September and how we are capitalizing on this momentum. After releasing a twelve-minute launch video across a number of different social media channels, we immediately began engaging with brands and agencies looking to utilize Viant AI. Since the launch, we have provided a Viant AI demo to every major agency holding company and hundreds of independent brands and agencies. At CES alone, our team conducted over a hundred and thirty Viant AI demos, providing over three hundred attendees with a hands-on experience of AI planning and AI measurement and analysis. As a direct result of participating in our demos, many major brands and agencies have expressed interest in obtaining their own custom versions of Viant AI. This calls for a deep level of integration between our AI infrastructure and brand and agency data platforms. Such a connection enables Viant AI to most effectively merchandise first-party data to plan and execute highly sophisticated ad campaigns, capable of achieving heightened levels of precision. This new and innovative concept is likely to forge tightly bound, long-lasting partnerships between Viant and our brand and agency clients. We are redefining what it means to collaborate with brand and agency partners by embedding our technology in with theirs. Agencies see how the Viant AI infrastructure combined with their own first-party data can help showcase their unique solutions to their current clients and help to win more new business. We are encouraged by the size of the existing pipeline of clients looking to deploy their own customized versions of Viant AI. As you can see, we are extremely excited by our progress, and we look forward to providing incremental updates on Viant AI in the near future. With that, I'll turn it over to Larry to provide more detail on our financial performance.
Larry Madden: Thanks, Chris. Before I begin, I would like to remind everyone that we have posted a presentation on our company website for today's call. We concluded 2024 with a strong fourth quarter, marking another year of accelerating growth for Viant Technology Inc. Before diving into our detailed fourth quarter results, I'll provide a high-level summary of our full-year performance. For the full year 2024, revenue totaled $289.2 million, an increase of 30% over 2023. Contribution ex-TAC grew by 24% year-over-year, reaching $177.4 million. Non-GAAP operating expenses for 2024 totaled $132.9 million, a 16% increase over the prior year. Adjusted EBITDA rose to $44.4 million, up 53% year-over-year, with approximately a 500 basis point expansion in adjusted EBITDA margin to 25% in 2024. Non-GAAP net income totaled $34.7 million for 2024, representing a year-over-year increase of 59%. Notably, contribution ex-TAC has maintained strong momentum, consistently growing by over 20% for the sixth consecutive quarter. We concluded the year on a high note, achieving 28% growth in contribution ex-TAC in Q4, a noteworthy achievement given the challenging year-over-year comparison of 28% growth in the same period last year. Similarly, adjusted EBITDA increased by more than 30% for the eighth consecutive quarter, underscoring our sustained financial performance and momentum. Our exceptional growth in today's advertising environment is fueled by market-leading innovations available exclusively at Viant Technology Inc., including household ID, direct access, and Viant AI. I'll now move on to our results for the fourth quarter. Revenue for the quarter was $90.1 million, representing a 40% increase over the prior year period and exceeding the high end of our guidance range by 6%. Sequentially, revenue increased 13% from Q3. Contribution ex-TAC for Q4 totaled $54.4 million, up 28% year-over-year and 3% above the high end of our guidance range. On a sequential basis, contribution ex-TAC increased 15% from Q3. We also experienced substantial growth in the number of customers generating significant levels of contribution ex-TAC. On a trailing twelve-month basis through Q4, we had a 42% increase in the number of percent of spent customers generating over $1 million in contribution ex-TAC, and for the full year, contribution ex-TAC across our top 100 customers grew by 24%. Our new customer base also expanded rapidly in 2024. The top thirty new customers added over the past year each generated, on average, more than $750,000 of contribution ex-TAC during the period, more than double the contribution ex-TAC generated by new customers in 2023, indicative of our success in winning clients with larger ad budgets. These trends, driven from both new and existing customers, position us extremely well to continue outpacing overall market growth. We experienced strong performance across most customer verticals in Q4, with ad spend in healthcare, consumer goods, public services, automotive, business services, and online gambling each growing more than 30% year-over-year. Political spending contributed just over 3% of total contribution ex-TAC in Q4, consistent with Q3 and in line with our expectations. All advertising channels saw double-digit growth in the quarter as well. CTV, once again, drove much of our growth in the quarter, which helped propel growth in ad spend to over 40% for the full year. CTV also remains our largest channel, accounting for over 40% of total spend in 2024, and Q4 marked the third consecutive quarter of record-high CTV ad spend on our platform. Video, which includes CTV, comprised just north of 60% of total spend in 2024. Non-GAAP operating expenses for Q4 totaled $37.3 million, reflecting a 26% increase year-over-year and a 14% sequential increase. Notably, these figures include incremental costs associated with our acquisition of Iris TV, which closed in early November. The acquisition accounted for approximately 375 basis points of the year-over-year increase and 350 basis points of the quarter-over-quarter increase in non-GAAP operating expenses. While we remain focused on making strategic investments in technology and AI to drive long-term market share gains and increasing profitability, in parallel, we also remain hyper-focused on driving internal efficiencies. To that end, over the past twelve months, we increased contribution ex-TAC per employee by 16%. In terms of headcount, in 2024, we increased total headcount by 43, or 13%, bringing our total workforce to 376. Approximately half of these additions stem from the Iris TV acquisition, with the remainder primarily in product and engineering, underscoring our commitment to continuously innovate and further build out our technology and platform capabilities. For the fourth quarter, adjusted EBITDA reached $17.1 million, surpassing the high end of our guidance range, representing a 31% year-over-year increase and a 16% sequential increase from Q3. Adjusted EBITDA as a percent of contribution ex-TAC was 31% for the quarter, improving by approximately 100 basis points year-over-year and 50 basis points quarter-over-quarter. Notably, we achieved this margin expansion while continuing to invest in our AI product suite and integrating the Iris TV acquisition. For the fourth quarter, GAAP net income totaled $7.7 million, which compares to GAAP net income of $3.3 million in the prior year period, representing an increase of 133%. GAAP basic earnings per Class A share outstanding was $0.11 in the fourth quarter, which compares to GAAP basic earnings per Class A share outstanding of $0.04 in the prior year period. Non-GAAP net income, which excludes stock-based compensation and other adjustments, totaled $13.8 million for the quarter, which compares to non-GAAP net income in the prior year period of $10.8 million, representing an improvement of 28% year-over-year. Non-GAAP basic earnings per Class A share outstanding totaled $0.17 in the fourth quarter, which compares to $0.14 in the prior year period. In terms of share count, we ended the quarter with 63.1 million shares outstanding, consisting of approximately 16.4 million Class A shares and 46.8 million Class B shares. From a cash flow and liquidity perspective, we ended the quarter with just over $205 million in cash and cash equivalents. We had $217 million of positive working capital and no debt at quarter-end, and we continue to have access to a $75 million undrawn credit facility. During the quarter, we generated $16.5 million of cash flow from operations and $12.2 million of free cash flow. For the full year, we generated $51.8 million of cash flow from operations, up 37% year-over-year, and $34 million of free cash flow, up over 40% year-over-year. Since launching our share repurchase program in early May 2024, through February 2025, we have purchased a total of 2 million shares of Class A common stock at an average price of $13.05, using $25.7 million in cash. We have $24.3 million remaining on our $50 million authorized repurchase program. This solid financial foundation positions us extremely well to fully capitalize on the substantial market opportunity ahead of us. Turning now to our outlook. For the first quarter of 2025, we expect revenue in the range of $65 to $68 million, representing a year-over-year increase of 25% at the midpoint. Contribution ex-TAC in the range of $40.5 to $42.5 million, reflecting year-over-year growth of 22% at the midpoint, which would mark our seventh consecutive quarter of over 20% growth in contribution ex-TAC. Non-GAAP operating expenses are expected to be between $37.25 and $38.25 million, representing a year-over-year increase of 22% at the midpoint and a quarter-over-quarter increase of 1% at the midpoint. Notably, our recent acquisitions of Iris TV in November 2024 and Locker in February 2025 are expected to contribute approximately 700 basis points to the expected year-over-year increase in non-GAAP operating expenses at the midpoint and 300 basis points to the quarter-over-quarter increase at the midpoint. We expect adjusted EBITDA in the range of $3.25 to $4.25 million, which represents a year-over-year increase of 22% in adjusted EBITDA at the midpoint. I would also like to make a couple of general observations about our outlook for 2025. In 2025, we expect contribution ex-TAC to continue outpacing the broader US programmatic market, which is projected to grow approximately 13 to 14%, driving further market share gains. We also expect contribution ex-TAC to continue growing faster than non-GAAP operating expenses, leading to an expansion in adjusted EBITDA margins in 2025. Finally, the acquisitions of Iris TV and Locker are expected to contribute approximately 600 basis points of growth to non-GAAP operating expenses in 2025. As a reminder, the acquisitions of Iris TV and Locker represent strategic investments to further enhance our suite of CTV targeting and measurement capabilities, as well as our identity and addressability solutions, which we believe will drive meaningful long-term growth opportunities. Lastly, I'd like to take this opportunity to provide some modeling points for the full year 2025. For 2025, we expect stock-based compensation to total approximately $28 million and depreciation and amortization to total approximately $20 million. In terms of share count, we expect to end 2025 with approximately 65 million Class A and Class B common shares outstanding. In closing, Viant Technology Inc. is at the forefront of driving advertisers into the future of CTV addressability and AI-driven advertising.
Nick Zangler: We remain committed to empowering our advertiser and agency clients with unparalleled
Larry Madden: service, precision, and advanced AI technology. Exciting innovations are on the horizon in 2025, with the anticipated launches of AI measurement and analysis, followed by AI decisioning. Our long-standing vision of autonomous advertising is well on its way to becoming a reality in 2025. With that, I will now turn it back over to the operator to open the call for questions. Operator?
Operator: Thank you, Larry. Again, we will now move to taking your questions. As a reminder, click the raise hand tab located at the bottom of your screen to ask a question. Due to time constraints, please limit yourself to one question. Looks like we have a question from Laura Martin at Needham.
Laura Martin: Hi, guys. Great numbers. I wanted to start with Locker because I don't really think I understand the logic. So if I've never heard of it before, so I'm just going on what you said. It sounds like you're going to publishers and getting their data with the promise that you can get them higher cost per thousand because they'll have more data and of their data and the bid stream and doing integrations. But I think that one of the main reasons we've seen connected television so much to add to the decisioning bucket is because they don't trust DSPs. They think you guys are in a race to the bottom because your client is to get the best the lowest price. So why would a publisher ever share their first-party data with you?
Tim Vanderhook: Hey, Laura. Thanks for the question. Thanks for the comments on the quarter. We were equally as excited with the numbers and the performance in the quarter. Okay. So Locker, there's a lot of friction in matching up household ID with publisher identity as well. So think logged in on Disney, everyone that's part of direct access. It takes a long time with lots of engineering resources and maintenance. Locker really cleans that up for our publisher partners inside of Direct Access. Reduces the time to integrate with Viant, and then there's this big long queue. Publishers don't just want to work with Viant. There's, of course, other competitors in the marketplace. And Locker, with a single integration from the publisher, will unlock all alt IDs that are a part of Locker, which most are out there today. So we think it's a big benefit to the sell side and helping remove a lot of the friction in getting identity linked up together and making that faster and smoother. Got it. Laura, typically, what happens is the sales team, let's say, a publisher goes out, gets a marketer interested to buy, and the marketer wants the publisher to bring data to bear. Really, their first-party data. And what happens is the sales team then goes back to management. They then get into an engineering queue to integrate whatever ID it is or whatever data company or let's say it's even sending data to a having to integrate with a clean room. Publishers, we see their engineering teams are taxed. They typically aren't carrying the weight of engineering that an ad tech company would. And so it's a long queue. And so if a publisher wants to use their first-party data in advertising to generate new demand, they have to get these integrations done. So you can't get them done quickly, and there's a lot of them, there's a line out the door to do integrations. Always. Locker really solves that. It's one integration with Locker, and then they light up the whole ecosystem of not just alternate identifiers, but also third-party data companies, clean rooms, measurement providers. I think it's a big unlock for publishers. And it's going to be great for the whole open Internet. It is going to accelerate household ID. It will also accelerate Iris ID in the midstream. But it's going to be really big for the whole open Internet. Our view is that if the open Internet can't enable these large content owners with vast amounts of first-party data, we need to enable them to use their first-party data in advertising. At the end of the day, we're in a larger war against the walled gardens. That's really what we're fighting against, and the open Internet has to stake its claim, has to use its most valuable assets properly, and that's what Locker is about. And just to the final one, I don't think publishers are scared of DSPs lowering price. DSPs bring new demand to those sales teams at these big content owners. Specifically, Viant does. We focus in the mid-market. We brought advertisers to the Olympics that have never bought an ad in the Olympics. So this is all net new demand that I believe DSPs are enabling the major in the open Internet are enabling, and I think publishers want those bids from us so they can analyze and decide to accept it or not. They get, I guess, more control of their future. And I think that you need to look at Locker as more of an industry utility. And that does help publishers, but in the end, it helps the overall health of the open Internet. That's the big play here. Yep. So if a publisher wants to use their first-party data, not just to buy it, or not just with another DSP, let's say, the Trade Desk, if they want to use it for their own purpose, they want to use that, they need somebody to help them. They can do these cumbersome integrations one by one. And I'll tell you, as a DSP, integrations with data companies, supply providers, measurement companies, clean rooms, it's never-ending. And publishers obviously don't carry the weight of engineers that an ad tech company like ours would. So it's a huge problem, and we think that Locker is going to solve a big industry issue.
Laura Martin: That's super helpful. I really appreciate it. Can I ask Larry one?
Larry Madden: Sure. Sure.
Laura Martin: Great. So, Larry, you guys did a nice job of saying that of the $1.8 million cost, that was above cost, about a million of that was Iris TV acquisition in the fourth quarter. Can you tell us how much revenue Iris contributed in the quarter?
Larry Madden: It was relatively modest. I would say it's probably about 1% of the total.
Laura Martin: Okay. Right.
Tim Vanderhook: Okay. That's super helpful. Thanks, guys. Great numbers.
Operator: Thank you, Laura. Our next question is from Maria Ripps at Concourse.
Maria Ripps: Great. Thanks so much for taking my question. I just wanted to follow up on, excuse me, on the Locker acquisition. Can you maybe help us understand the strategic fit here a little bit better? I guess, is there an opportunity to monetize Locker directly with publishers, or should we think about this mainly as a tool to sort of further accelerate the adoption of the household ID and Iris ID?
Tim Vanderhook: Yeah. I think you could look at it in kind of this order. It is to accelerate adoption of household ID as well as Iris ID. Certainly, we are going to leverage our relationships within Direct Access. We are going to do that. But I really think overall, in the end, for something like this to be successful, we have to create Locker as a utility for the open Internet to be able to increase addressability by helping publishers use their first-party data. That was kind of the order that I would put it in there. But, again, I do think the third part needs to play out in order for the whole open Internet to actually succeed against the walled gardens. The first-party data by publishers helping them use that in advertising is key.
Maria Ripps: Got it. Thank you.
Nick Zangler: Thank you.
Operator: Thank you. Our next question comes from Nat Schindler from Scotiabank.
Tim Vanderhook: Hey, Nat. How are you?
Nat Schindler: Sorry. I had to unmute. Hey, guys. Been a while. Thanks for taking my call and great quarter. Wanted to I had some technical difficulties with your Zoom at the beginning, so I want to make sure you didn't cover this at the beginning. If you did, I'm sorry. But the rest of AdTech went into with some interesting exclusions. Said that there was a direct follow-up in brand spend, and it went across all DSPs, particularly some of the SSPs said this. Post-election and that rebounded in January. Can you do some Just tell us what's been going on with the market as you see it. I know you guys are small enough that could have idiosyncratic movements that wouldn't be affected.
Nick Zangler: Yep. Yeah. Thanks, Nat.
Chris Vanderhook: Yeah. Look, I think that there's some, you know, it's certainly a mixed bag with some of the different company's results, but if I could just distill it down for you. If you take a look at companies that have significant exposure to display advertising, which is dominated by last-touch attribution, that's where you need to look. There's the weakness. Yes. That is the weakness of the market. You can go down the line. It was largely stated there's some other, you know, there's some little bit differences between platforms, but if you have significant exposure to display advertising, that is heavily, heavily linked to last-touch attribution and cookies, that is what you saw really get punished in a lot of the fourth quarter results and maybe in Q1 guidance. I can't comment on every individual company, but I think that you'll see that come through.
Nat Schindler: Yeah. But in general, in the fourth quarter, we saw strength all the way through the quarter. December was a strong quarter. So there was nothing that we saw from our results. Like you mentioned, we are on the smaller side of public companies, so there could be some idiosyncrasies. But I think in general, what Chris touched on is probably the theme from our perspective.
Nat Schindler: And to clarify a little bit more, how would a large DSP get impacted not by the market, but by unforced errors? How does that even make sense?
Chris Vanderhook: I don't know. I think in tennis, it's when you hit it into the net. I don't, you know, I don't know. I can't really I don't know what the read-through on that was, but from my perspective, though, there's certainly more competition today than there has ever been on the DSP side. In terms of enterprise-grade substantial options for agencies and advertisers to choose from. And I think competition is probably one driver of some of those results. Certainly, internal mistakes can happen. They've happened to us over our more than two decades of experience. They can happen intra-quarter, but yeah, it seems like that would be tough to not know about mid-quarter for sure.
Nat Schindler: Okay. And just final question just to go broader market. I know you have strong guidance on particularly, on revenue. You do tend to have one queue per sales and marketing expenses. Correct? Impacts EBITDA pretty severely in the first quarter. Is that correct?
Chris Vanderhook: That is correct. Seasonality low in terms of ad spend in that's in the first quarter. And we do have a larger amount of sales marketing expenses in the first quarter due to things like our all-company conference that we have CES. CES, things like that. So that's always sitting there in Q1, but I was particularly thinking of CES, so that has a pretty big impact.
Nat Schindler: Okay. On the small number on the smaller quarterly number. But just to go into that revenue number, which is pretty strong, the overall market, are you seeing any real change in advertiser behavior between fourth quarter and first quarter, or is it just as for your company, it's pretty steady as she goes?
Chris Vanderhook: No. We think it's really strong. I can say just, you know, the way we feel about the market as well as our own prospects as a company is very high. We have a ton of opportunity that's happening right now as well as in front of us, so we feel really good about it.
Nat Schindler: Great. Thanks, guys.
Chris Vanderhook: Thanks, Nat.
Operator: Thank you. Our next question comes from Jason Kreyer.
Jason Kreyer: Hi, guys. Thank you for taking questions. Appreciate all the detail on Viant AI. Just curious how you're thinking about this scaling over the course of 2025. Just in terms of the ability to onboard new customers, the fees you can charge, or just generally, you know, generating greater wallet share per customer, like, where do you expect to see the biggest benefit to fundamentals?
Tim Vanderhook: Yeah. Certainly, it's a big wallet share winner, and one of the big reasons why we focused on the planning process is it's such a cost center for our customers at the mid-market agencies, mentioned in the prepared remarks the benefits that agencies are seeing who are already leaning in the velocity of new business pitches to help grow their own ad agency. One agency exec quipped that they're doubling the velocity AI. And the quality of the media planning is very, very high. So that's really, really big. And I think it's going to be a huge wallet share gain as well as net new customers coming on to Viant and leaving competitive platforms. It's so much easier to plan and then activate a campaign inside of Viant's DSP with Viant AI now, relative to the competition. So to go from an idea all the way to activation might take you thirty minutes inside of Viant. That will take weeks in competitive platforms. So I think as agencies understand it, it's going to take them a little bit of time to trust it. That's the number one concern when Viant AI comes out is, you know, can I trust the AI to produce the right results? And I think that's where everyone's at. And once you get over that trust hump, which is really just about the customers playing with the AI platform and getting a subjective view on what the results are. So we see it speeding net new business wins of advertisers and agencies coming on to Viant. And we also see it as a wallet share gain between ourselves and competitors on the buy.
Jason Kreyer: Just a quick follow-up to that for Larry. Maybe the we continue to see this delta between revenue and contribution. Is that maybe indicative of the pipeline of new customers that you're onboarding today kind of representing a greater growth opportunity over time?
Larry Madden: Yeah. It's exactly what it is. What is really happening is we've been onboarding some larger customers over the last several quarters. And they're coming on as percentage of spent customers. They're signing MSAs. They're learning not to use the platform. But initially, because they went straight into percent of spend, initially, we provide a much higher level of service to get them, to get the campaigns going. To be last three, four, or five months. But what it triggers is it triggers gross accounting because we're doing a lot of the heavy lifting. It's temporary. Once they fully get up a hundred percent self-serve, it goes back to net accounting and the delta between the revenue and the CX kind of goes away. So you saw that last quarter. You're seeing that in Q4. We're guiding a little bit to that in Q1, much less than the last two quarters. But it's really a temporary thing that it really specific to a handful of larger customers. But it speaks also to the pipeline of obviously, we're adding quite a few of these bigger customers and have been, and that's part this is falling out from that scenario.
Jason Kreyer: Yep. That's great. Thank you.
Operator: Alright. This next question will be our last question of the day, and it is Matt Condon with JPM Citizens.
Matt Condon: Hi, guys. Thanks for taking my question. I just wanted to ask on the SMB opportunity. You guys mentioned that multiple times in your prepared remarks. Understood Viant AI is going to help you to break in there and just assist with the ease of use of the platform. But can you talk about it from a go-to-market perspective? Do you think about bringing these budgets onto your platform and aggregating them on your platform?
Chris Vanderhook: Yeah. Thanks, Matt. Great question. So I think it's important for people to realize that Viant AI certainly has kind of squarely in the mid-market where we've been the last several years, and we've had a lot of success. It's allowing us to move up market with much larger brands and agencies, but it's also going to attract this is really this is a big open question for the open Internet. Can we attract the walled garden advertisers that, yes, do span the millions and possibly as high as ten million advertisers? These are but is with respect to the go-to-market, why is that important? I don't want to call them less sophisticated, but they are used to buying platforms that are very simple. In the end, they just want to give you a budget, know flight dates, who their audience might be, and what their goal is, like a cost per customer goal. And then they expect the platform to do all the automation, just deliver them customers. That's really what they want. So the downstream going downstream to these smaller advertisers is, I think, paramount for the open Internet and particularly in CTV. The go-to-market of that I know a lot of people look sound that it's so daunting. And I think our first order of business wouldn't be that we're going after ten trying to track ten million advertisers. We believe there's a much smaller group and number of those advertisers that exist across the walled gardens that spend the lion's share of the money. These are these direct-to-consumer e-commerce companies that do have significant budgets, but we typically see that they are single or dual channel only advertisers. They might buy in Google search and meta or maybe they're buying across TikTok. Or maybe they have, you know, they're doing a significant amount of sales in Amazon. And we typically see them spending really only in those channels. And there is a lot of interest for how they buy in CTV, but, one, we have to make the buying platforms dead simple for you to be able to access make CTV more accessible to them. And then two, you have to show them what they're getting for their money. And I think that what we've done very uniquely as a company is we show marketers the true value of CTV, not just to your ad showing up and streaming and you feel good about it, but we show how you spend another new dollar in CTV. We show you another new customer. That's very powerful. That's what's eating share in other channels and channels that don't care that don't really push enough weight like display advertising. It's the same for Google branded search. And it's the same for a lot of the walled garden spending those are customers they were largely going to get anyways. And when we attract these advertisers, and they see the incrementality of when they spend in channels like CTV and audio, it's very powerful. So we have a lot of conviction that we're going to be able to attract those direct-to-consumer e-commerce companies.
Matt Condon: Very helpful. Thank you so much.
Tim Vanderhook: Thanks, Matt, for the question.
Operator: This concludes today's webinar. We thank you all for joining. You may now disconnect.